Operator: Thank you for standing by, and welcome to the James Hardie Q2 FY '25 Results Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Joe Ahlersmeyer, VP, Investor Relations. Please go ahead.
Joe Ahlersmeyer: Thank you, operator. And thank you to everyone for joining today's call. Please note that, during the course of prepared remarks and Q&A, management may refer to non-GAAP financial measures and make forward-looking statements. You can refer to several cautionary notes on Page 2 for more information. Also, unless otherwise indicated, our materials and comments refer to figures in US dollars and any comparisons made are to the corresponding period in the prior fiscal year. Now please turn to page 3, where you will find the agenda for today's call. I am joined by Aaron Erter, Chief Executive Officer of James Hardie, and Rachel Wilson, our Chief Financial Officer. Aaron will share key messages for the quarter and provide an update on the business before handing it over to Rachel, who will review our financial performance, detail our outlook and guidance and speak to our cash generation and capital allocation framework. Then Aaron will return to conclude our prepared remarks before we move to Q&A. I am now pleased to hand the call over to our Chief Executive Officer, Mr. Aaron Erter.
Aaron Erter: Thanks, Joe. Before I begin, I would like to take the opportunity to thank all our employees around the world who work to safely deliver the highest-quality products, solutions and services to our customers. In recent months, severe weather events challenged our teams with hurricanes Helene and Milton in North America and flooding in Germany. I am pleased to share that our teams kept their families and each other safe. Secondarily, I was inspired by the resilience our team showed in rapidly recovering our operations. And I am proud that they did so with an unwavering commitment to zero harm. Our people and their families work and live in these communities. And our support goes beyond what contributions we've made to the early recovery efforts. Our long-term commitment to these communities is embodied by our vision and mission and, in particular, our purpose, building a better future for all. Now let's begin on slide 4. We again delivered on our commitments and our first half results demonstrate that we are managing decisively as we continue to scale the organization and invest to profitably grow our business. And our teams are executing on our strategy to outperform our end markets. I am incredibly proud of our teams for delivering well over $0.5 billion of adjusted EBITDA in the first half of the year, down just low-single-digits from our record performance during the same-period last year. Our performance is a clear demonstration of the inherent strength of our value proposition, and the underlying momentum in our strategy. In the second quarter, we again demonstrated consistency in delivering solid results by achieving each of our three guidance metrics. In North America, we shipped 717 million standard feet of volume and achieved a 29% EBIT margin, both solidly within the ranges we committed to in August. And on a consolidated basis, our bottom line result exceeded our expectations as our teams worked diligently to reinforce James Hardie's robust profitability, leading to $157 million of total adjusted net income. As expected, business conditions remained challenging throughout the quarter and into October. But as affordability conditions improve, we expect demand to meaningfully recover in both new construction and repair and remodel end markets. This gives us even greater conviction in our decisions to prioritize investment throughout this fiscal year. We have focused intently on strengthening our competitive position through the current environment. But as we look ahead, we are now even more focused on ensuring that we are well-positioned to provide the highest levels of service to our customers. We will accelerate our outperformance and keep our commitments to all our stakeholders. Please turn to slide 5. In North America, we are outperforming our end-markets through our superior value proposition, and driving leading margins despite raw material headwinds. We are uniquely positioned to address our immense material conversion opportunity and are aligning our capacity to fully service higher levels of demand in the recovery. We are investing across the value chain, growing our contractor base, and accelerating homeowner demand to capture the repair and remodeling opportunity as affordability pressures moderate and homeowners move from dreaming to planning and ultimately to doing. Our strategies are driving wins with homebuilders as we deepen our exclusivity arrangements, work to increase trim attachment rates and highlight how our production network creates a competitive advantage that supports their growth plans. In our Asia Pacific business, our teams are driving share gains in Australia and New Zealand despite soft market demand. We are encouraged as we have observed modest recovery in core products. We are finding efficiencies and delivering cost savings that continue to drive further expansion in our already-strong margins. And finally, we are executing on our plan to cease manufacturing and wind down commercial operations in the Philippines, enabling greater focus on markets where we have the right to win. And in Europe, broadly, our markets remain challenged, and particularly in Germany, an important market for us where we anticipate a more gradual improvement. However, we are well-positioned to capitalize on growing momentum in residential new construction throughout the early days of a recovery in the UK. Overall, we are investing to grow sales of high-value products and early product successes such as Therm25 flooring give us conviction that this strategy will continue to drive further penetration and wins with our customers. Now, please turn to slide six as I take a moment to review our overall strategy. We are grounded in our unwavering commitment to being homeowner focused, customer and contractor-driven. This is a holistic approach by our teams across the entire value chain. Importantly, we are doing it the right way, and not sacrificing on our foundational imperatives. Zero harm and the Hardie operating system are our commitments to putting world-class safety at the forefront of all that we do. And continually improving how we get work done across the company. In October, we celebrated our second annual Global Zero Harm month, spotlighting our commitment to prioritizing safety and all we do. Throughout the month, we held localized events across our entire global footprint that featured interactive presentations, keynote speakers and knowledge sharing that reinforce why we must have safety as the first priority in all aspects of our business, from plant floor operations and R&D lab procedures to healthy daily practices in our corporate offices. To our entire organization, I want to say thank you for raising the bar even further and owning zero harm as our collective responsibility and making it fundamental to our culture. Sustainability is foundational at James Hardie. Each of our employees plays a role in putting sustainability into action. And this cross-functional collaboration is driving progress towards meeting our ambitious commitments. And of course, when it comes to people, I believe we have the best talent in the industry. Day-in and day-out, I see the drive, talent, commitment and passion as we work towards our purpose of building a better future for all. Put simply, everything you see on this slide is our blueprint by, which together we move James Hardie forward. I remain confident in our team and our strategy. Together, they position us to execute at a high-level and drive profitable share gain in all three regions. Please turn to slide seven. At our Investor Day earlier this year and during our most recent earnings call, I used this flywheel to demonstrate how our strategy builds upon its own momentum to create long-term value. Our prescriptive test and learn marketing programs reinforce James Hardie as the brand of choice across the value chain. And we stand to provide the right products for the right customer at the right time. Our teams work tirelessly to bring ever-increasing value to our business partners, supporting their growth and capturing the full potential of our material conversion opportunity. One home, one neighborhood, one region at a time. At James Hardie, we are the industry leaders in demand creation, exhibiting our proficiency in, using traditional media to build consumer awareness, forming collaborations with influencers to further our mindshare with consumers, and leveraging technology partners to simplify the homeowner path to purchase through visualization. We also demonstrate our best-in-class engagement across the value chain in how we leverage our contractor alliance program, a collaborative and scalable approach to growing and empowering our contractor base. This program is comprehensive and providing contractors with qualified homeowner leads, training and tools around installation, opportunities to network and share best practices and recognition and rewards that foster loyalty to James Hardie. We have seen great success in this program already, and I am bullish on the boundless potential this program has as a long-term tailwind for our performance in repair and remodel. Now I would like to hand it over to Rachel to share more details about our second quarter results. Rachel?
Rachel Wilson: Thank you, Aaron. Please turn to slide 8. We again delivered on our commitments in the quarter and our first-half results demonstrate that we are managing decisively as we continue to scale the organization and invest to profitably grow our business. Our North America teams delivered second quarter results in-line with our volume and margin guidance and, regionally, we are continuing to align our spend to the market environment, investing ahead of recovery and evolving our plans to accelerate our market outperformance. In Asia Pacific and Europe, our teams demonstrated a strong commitment to driving outperformance in challenging markets, delivering first-half results consistent with our expectations. In Asia Pacific, we are executing well on our strategies to partner and win with our customers and own the material conversion opportunity. In Europe, our portfolio of high-value products is performing well in the early days of our long-term strategy. Across all three regions, our results and strategies demonstrate a commitment to delivering profitable growth. And finally, our strong margin delivery continues to underpin our robust cash generation capability, and we continue to fund our capital priorities principally from cash generated by our operations. Please turn to slide nine for the financial highlights of our fiscal second quarter. Total net sales were 4% below last year's record second quarter, but consistent with our expectations at just under $1 billion globally. We delivered $263 million of adjusted EBITDA in the quarter with an adjusted EBITDA margin of 27.4%. Our first half adjusted EBITDA was over $0.5 billion, and down just low-single-digits from our record performance in the first half of fiscal 2024. Adjusted net income in the quarter was $157 million, modestly ahead of our expectations. And finally, during the quarter, we repurchased $75 million of stock, completing our $300 million repurchase program. Let's move to slide 10, where I will comment on the year-over-year drivers that led to our second quarter consolidated adjusted EBITDA of $263 million. North America drove a $26 million decrease in total adjusted EBITDA as volumes declined due to ongoing demand challenges in our end-markets. Our decision to remain staffed at our plants while investing in scale and future growth are important actions to capture the opportunity as our markets recover. Additionally, we faced raw material headwinds and startup costs related to our capacity additions, which further weighed on margins. Our Asia-Pacific business contributed $5 million of incremental adjusted EBITDA as our collective Australian and New Zealand business grew sales and achieved higher profitability. As a reminder, we announced that we would cease manufacturing and wind-down commercial operations in the Philippines in August. In the second quarter, our segment results were unfavorably impacted by this decision. Europe was a $2 million headwind as underlying EBITDA growth was more than offset by a previously disclosed favorable rebate true-up in the prior year. Finally, R&D and adjusted corporate costs were relatively neutral to the change in consolidated adjusted EBITDA in the quarter. Turning to slide 11, North America net sales declined 5% in the quarter, primarily driven by a 7% decline in volume. Both our exterior and interior product lines saw volume decrease by high-single-digits. We shipped 717 million standard feet in the quarter, near the midpoint of our guidance of 705 million to 735 million standard feet. Average net sales price or ASP rose 2%, primarily related to the realization of our January 2024 price increase, consistent with our expectations. EBIT margin was 29.0%, down 270 basis points versus the prior year, but above the midpoint of our guidance. This includes $38 million of total depreciation and amortization expense. North American EBITDA was $240 million with an EBITDA margin of 34.5%, down 170 basis points. Lower volumes and unfavorable cost absorption were the primary drivers of the decrease in profitability. The year-over-year impacts of higher raw material costs worsened sequentially from the first quarter, a trend we expect to continue into the third quarter as we recognize higher pulp and cement costs in our results. Favorable ASP and progress on our HOS initiatives have continued to provide offsets to cost headwinds. Our efforts to align spending to the current environment and the market outlook have helped to bolster our strong margins even as we continue to prioritize investments across the value chain in anticipation of our markets recovering. Turning to slide 12, Asia-Pacific net sales rose 1% in US dollars, but decreased 2% in Australian dollars, primarily due to a 10% decrease in volumes, partially offset by a 10% rise in ASP. Our decision to cease manufacturing and wind-down commercial operations in the Philippines impacted our results for this segment. However, Australia and New Zealand together saw low single-digit volume growth and mid-single-digit sales growth in the quarter. As previously discussed, we stopped producing the Philippines during August, but continued to ship from existing inventory throughout the remainder of the quarter. Overall, Asia-Pacific volume performance reflects this, while ASP and margins benefited from favorable geographic mix related to lower proportional contribution from the Philippines. Asia-Pacific adjusted EBIT margin was 33.3%, excluding restructuring expenses related to the Philippines. Adjusted EBITDA grew 11% to $54 million and adjusted EBITDA margin increased 350 basis points to 36.5% due to the aforementioned geographic mix dynamic and, to a lesser extent, sales growth and margin expansion collectively in our Australia and New Zealand operations. Turning to slide 13 to discuss the European results. Europe net sales in US dollars were roughly even with the prior year, but decreased 1% in euros, including a headwind of approximately 3 percentage points related to the previously discussed favorable rebate true-up in the prior year. Sales in fiber gypsum were down low-single digits in local currency, but saw underlying growth excluding the rebate impact. Fiber cement products were up high-single-digits in the quarter and high-value products have grown high-single-digits year-to-date. Volumes were slightly down as our markets remain challenged with the impact of higher rates continuing to weigh on-demand for our products. ASP, which is not impacted by rebate activity, increased 4%, primarily driven by our June 2024 price increase. EBIT margin was 7.5%, inclusive of $8.1 million of depreciation and amortization expense. Segment EBITDA was $17 million and EBITDA margin was 14.5%, down 220 basis points, an unfavorable comparison owing entirely to the rebate true-up in the prior year. Higher ASP and modest input cost favorability were offset by increased headcount expenses related to sales teams in support of high-value product growth. Please turn to slide 14. Our strong margins underpin our cash flow, and we continue to fund our capital priorities principally from cash generated by our operations. Year-to-date, we generated $364 million of operating cash flow and invested $225 million in capital expenditures and deployed $150 million to share repurchase. We continue to execute our pipeline of approved capacity expansion actions. At our Prattville, Alabama facility, we have completed the expansion of Sheet Machine 3 and continue to work on both Sheet Machine 4 and the ColorPlus finishing line. We also expect to continue our brownfield expansion in Orejo, Spain to begin work on our brownfield expansion in Cleburne, Texas and to advance planning at our Crystal City, Missouri greenfield project. Due in large part to the timing of CapEx spend related to Sheet Machine 4 in Prattville, we now anticipate FY '25 capital expenditures to be between $420 million and $440 million versus our previous range of $500 million to $550 million. During the quarter, we repurchased 2.1 million shares for a total of $75 million, completing our previously announced share repurchase program. And in November, the Board approved a new $300 million program. As our markets recover, we will accelerate our outperformance and invest in organic growth. We will diligently allocate capital by following our framework, which we believe produces the best long-term shareholder returns. This includes evaluating inorganic opportunities for not only strategic merit, but also financial attractiveness. Now please turn to slide 15 where I will discuss guidance. As Aaron noted at the beginning of the call, our teams have shown remarkable resilience in delivering our solid first-half results amidst a challenging demand environment. We continue to find opportunities to be more efficient as we prioritize our investment in scale and future growth. We are encouraged by the prospect of improvements in consumer sentiment and homeowner affordability as borrowing costs normalize. With respect to our fiscal year, we continue to expect the North American market for exterior products to be down low-to mid-single digits. While market conditions are softer than we originally anticipated, we remain committed to delivering North America volume within the original guidance range we provided in May. We are therefore reaffirming our expectation that North American volumes for the full fiscal year will be at least 2.95 billion standard feet and we anticipate that our third quarter volumes will increase sequentially from the second quarter. HOS initiatives together with efforts to rationalize and prioritize expenses are enabling us to achieve better profitability versus what we initially anticipated at this end of our volume outlook. This comes despite expecting pulp and cement cost headwinds to strengthen in the back half of our fiscal year. We are thus raising the low-end of our North American EBIT margin guidance to 29.3% and similarly increasing the low-end of our adjusted net income guidance range to $635 million. As a reminder, this increase to $635 million comes despite losing second half profit contribution from the Philippines, a headwind not incorporated in our original guidance. And with that, I'll turn it back to Aaron.
Aaron Erter: Thanks, Rachel. Please turn to slide 16. Thanks to the hard work of our teams and our determination to boldly continue investing through the softer environment, we are set up to sustain our leading position in the industry and accelerate our outperformance as markets recover. We are planning for recovery and growth in both repair and remodel and new construction. Our teams continuously evolve our plans to deliver sustained market outperformance and capture the value that our products demand in the marketplace. While it is too early to quantify our expected results for FY26, in our North America segment, we are planning for growth in net sales and EBITDA, with EBITDA margin expansion. On a consolidated basis, we are also planning for adjusted EBITDA growth. Our ability to expand the reach of our products through capitalizing on underlying market growth and the material conversion opportunity, coupled with gaining share through our superior value proposition across the value chain, allows us to aspire to peer-leading growth over the long-term. We are a profitable growth company, aligned as an organization around sustaining our strong returns on capital and generating attractive returns to shareholders. And our long-term aspirations that we shared with you at Investor Day remain unchanged, namely to grow North-America revenues by double-digits, to expand North-America EBITDA margins by 500 basis points and to triple our North America EBITDA. Now, please turn to slide 17 where I will conclude our prepared remarks. Halfway through our 2025 fiscal year, we are proud to have achieved solid quarterly results in line with our commitments. We are laser focused on delivering full-year results consistent with the original ranges we provided in May, and we are planning to accelerate our outperformance and grow the business not only in the coming fiscal year, but also in the years ahead. As we look to the future, we believe James Hardie's value proposition as a growth company is highly compelling, with three primary pillars for shareholder value creation. First, we have the right strategy, one where our success perpetuates driving even greater success. Second, we have bold ambitions and a talented team that delights in pursuing and achieving challenging goals. And third, our financial profile is attractive and will only continue to improve as we diligently allocate capital and work towards achieving our longer-term aspirations. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Keith Chau with MST. Please go ahead.
Keith Chau: Good morning, Aaron and Rachel. Thanks for fielding my questions. The first one is just around your planning assumptions for FY '26, understanding they're planning assumptions and not guidance specifically. But with respect to price increases, I think in some jurisdictions, you've raised up to 6% for price. What is your expectation for realized price increase just considering one of your peers has talked about the competitive dynamic being fairly normal, but there should still be rebating activity in FY -- in CY '25. So just wondering if you can give us some clarity around less price increases in realized?
Aaron Erter: Sure. Hi, Keith. Thanks for the question here. Look, as you can probably respect, we're still working with our customers on price increases. So it would be premature for us to go into any type of detail. But as we have in the past, we target one price increase every single year, usually at a mid-single-digit, and that's similar to what we're focused on now. But we're still in the process right now of implementing price.
Keith Chau: Okay, thank you. And then just a follow-up on cost assumptions, the guidance, Aaron or Rachel, if you can give us a sense on how you're looking at costs going into the end of the year. And noting that some of your key costs, including pulp, electricity and freight have all moderated a touch since the last result. And also, SG&A control seemed to be pretty good in the period, having stepped down quarter-on-quarter at least somewhat. So is there an expectation that SG&A will fall further from the quarter? Are you happy with the level at the moment? Thanks.
Aaron Erter: Yes, Keith. Again, thanks for the question. I'll start out and then I'll hand it over to Rachel. Look, from an SG&A standpoint, we've talked a lot about our ability to pedal and clutch. And I think that you have seen that this quarter. And we've been clutching in certain areas, but not at the expense of long-term investments we feel that are critical to the business. As we think forward and what I've said before is we're going to invest how the business needs us to invest, right? So I can't really give any type of guidance on will it fall next quarter, but we will pedal and clutch and invest as appropriate. Rachel, you want to talk a little bit about some of the raw material assumptions?
Rachel Wilson: Yes. So I think the first question was, has it really changed much since last quarter? And our raw material assumptions are largely unchanged. As we've talked about before, our top four raw materials, we've talked about labor, freight, pulp and cement, they've ranged between 10% to 15% of our COGS. That remains the case. As we are thinking about -- you specifically asked about pulp, though it is still a headwind year-over-year for Q4, you are correct that it has modestly improved from our expectation in Q3. And as we've talked about before, this has a lot to do with how we have a two to four month lag from coal prices and we are lapping some of that performance. So, again, it's more of a year-over-year comparison as we look to the back half of the year.
Keith Chau: Okay. That's great. Thanks both. I'll jump back on the line.
Aaron Erter: Thank you, Keith.
Keith Chau: Thank you.
Operator: Your next question comes from Peter Steyn with Macquarie. Please go ahead.
Peter Steyn: Good morning, Aaron and Rachel. Thank you very much for your time. And Rachel, I'm keen to just get a better handle on the HOS savings that you've banked in the quarter and what contribution that made to some of the performance that's outlined in your EBITDA bridge on Figure 10, and therefore also what will be a sustained operating leverage basis to go forward?
Aaron Erter: Yes. Hey, Peter, great to hear from you. Do you mean HOS savings in the quarter? Okay. There you go, Rachel.
Peter Steyn: I should call it by its name as opposed to HOS.
Rachel Wilson: Absolutely. So this is one where I'm actually glad you asked the question because we're fairly proud of, in that certainly as you look at some of our margin progression, you can see when you look at gross margin, we have had a rougher go over here from raw materials, particularly year-over-year. And as we've talked about, our volume environment has been a little tougher, but we certainly have performed absolutely in range and to our expectations. Where we got to exceed here is when we look at our EBITDA margin and also down to the bottom line. And that really is demonstrating some of that HOS discipline. And we're seeing it in a few ways. And this is one where we've talked a lot about clutch and managing some of our spend towards clutch. And a few examples of that. If we think about this quarter in particular, Prattville Sheet Machine 3 was one where we were originally going to start and put into service at the beginning of the quarter. Given the volume environment, we were able to put it in service more towards the end of the quarter. So that was an example of very actively managing to that volume environment. Similarly, as we think about some of our marketing expenses, whether it's a national advertising campaign, obviously, we are still very much aggressively marketing. That was another area where we felt we could do some minor clutch. So again, that combination of some of the spending, but also some of our manufacturing efficiency. So again, when we talk about RTY, which is the way we think about throughput, we've had some record performance, particularly over the summer, which is one of the hardest times for us to do so. So again, as we look across whether it's from the operating performance under the manufacturing performance, again, a quarter where we really did need to control the controllables.
Aaron Erter: Yes. And Peter, I would just add, I'm thankful for just an outstanding team from a manufacturing perspective across our whole enterprise because if you think about some of the volumes and what they've been able to generate from HMOS savings, it's been truly incredible. So it's world class.
Peter Steyn: That's great. And just, Aaron, one of your favorite subjects, procurement. Anything to call out there?
Aaron Erter: Yes. And procurement is one of my favorite subjects. As all of you are aware, really over the last year, we've centralized procurement. And we continue to be on track, if not ahead with our procurement savings and the benefits from centralizing procurement. This goes from everything, what you would expect of our leverage in buying raw materials, but also in doing benefits, prescription drug, you name it, our team in procurement led by Rob O'Brien has done just an outstanding job. The other thing that's really been key is our procurement team has worked right alongside our R&D team, right, and still keeping the highest quality from product standpoint, but also being able to value improve our products. So we're seeing significant savings there. Thanks for the question.
Peter Steyn: Thanks, I'll stop there. Appreciate it.
Operator: Your next question comes from Daniel Kang with CLSA. Please go ahead.
Daniel Kang: Good morning, Aaron. Good morning, Rachel. Just firstly, pleased to hear your early comments on the safety of the team and minimal impact on operations from Hurricane Milton and Helene. But just with respect to the rebuild effort, do you see a meaningful volume rebound over the next few quarters?
Aaron Erter: Yes, Daniel. Great question here. Look, as you know, we've been impacted in the US, but also as I mentioned in Europe as well by extreme weather. And what I've learned a long time ago, you don't like to use weather as an excuse, but certainly we had, I think, a little bit of an impact, but nothing I would say real meaningful from a volume standpoint. And look, I think that the key as we think forward is we're still focused on our material conversion and the opportunity there. It's not necessarily of any lagging volume that we missed. It's more of the material conversion that we're able to go out and get for the rest of the year and beyond. That's what we're focused on.
Daniel Kang: Thank you, Aaron. And just for my follow-up. Looking to your FY '26 aspirations on slide 16, is there any particular reason that you've referenced EBITDA growth rather than your usual guidance or focus on NPAT?
Aaron Erter: Yes. Daniel, great question. I'll let Rachel take this one.
Rachel Wilson: Yes. I've always been a fan of EBITDA. First of all, it's a great metric to measure and manage our business performance because it really talks about controlling the controllables, right? It's ex-tax, it's ex interest, it's ex-D&A. And actually, it's closely aligned with cash returns on cash invested capital. So EBITDA is closer to a cash flow metric and we are focused on generating strong cash flow more than GAAP profits. And then finally, as we think about comparison with peers, we try to put ourselves in your shoes. EBITDA focus does more closely align us to some of our building products peers who are valued more on some of those multiple basis.
Aaron Erter: Yes. And I think the other thing is just thinking about our long-term aspirations, right, we put EBITDA margins out there and our ability to grow EBITDA margins by 500 basis points over the next 10 years. So that's really important and an important measurement for us. But look, we're still going to report EBIT margin. That's not going away. But as Rachel said, we think this is a better metric that reflects what our business is doing and what we can control.
Daniel Kang: Okay. Thank you.
Operator: Your next question comes from Brook Campbell-Crawford with Barrenjoey. Please go ahead.
Brook Campbell-Crawford: Good morning. Thanks for taking my question. And just one on North America volume. You're expecting December quarter volumes to be above September quarter, usually they are seasonally lower. So can you just talk about what's playing through there and underpinning growth? You would have had the hurricane impact in October. And I think September single-family starts are above -- sorry, below June quarter, which would have, I would have thought, weighed on volumes. So what are you seeing there? What's underpinning the different seasonality this year? Thanks.
Aaron Erter: Yes, Brook. Great to hear from you. And again, we're not going to use the hurricane as any type of excuse of lack of volume or more volume later on. We're focused on material conversion. But there's a good answer to this. Rachel, you want to take Brook through this?
Rachel Wilson: Yes. So one of the things we look between the second half of the year and particularly Q3 being more than Q2, part of that is also thinking about a price increase that's effective in January and customers buying up to their allocated limits, it's not limitless, but you're buying up to that in anticipation of growth that we are all expecting as we look ahead to the following calendar year.
Brook Campbell-Crawford: Okay, great. Thank you. And just one very quick question just to confirm following-on from Dan's question on the FY '26 planning assumptions. Can you just confirm you're also expecting NPAT growth in FY '26 at this point?
Aaron Erter: I'm sorry, I didn't catch that. That NPAT growth?
Brook Campbell-Crawford: Yes. Well, just the planning assumptions for FY '26, you talked about EBITDA growth towards sales growth. Are you also assuming NPAT growth?
Rachel Wilson: Yes, we'll give more specific guidance when we get there because that means we have to start looking at D&A, other assumptions. So we want to be careful that these are planning assumptions right now. And we have been preparing for recovery in growth in FY '26 and that's everything from CapEx, marketing and people investment. So we want to make sure that we are giving you that proper guidance.
Brook Campbell-Crawford: Okay, thanks.
Aaron Erter: All right. Thanks, Brook.
Operator: Your next question comes from Harry Saunders with E&P. Please go ahead.
Aaron Erter: Hi, Harry.
Harry Saunders: Hi, thanks for taking my questions. Firstly, just wondering more specifically, what is driving the softer margin expectations in the second half versus the second quarter, just given volume improvement anticipated?
Rachel Wilson: Yes, some of this is really some of the raw materials that we've talked about and that continuing -- I had described pulp earlier in the call, but we are expecting that to continue. And as we mentioned, we are not softening on our investments for the long-term growth in the business. Yes, and we're really focused here on delivering those consistent margins throughout the back-half here.
Harry Saunders: Got it. Thank you. And just wondering, does the guidance for volumes include any recovery in end markets in the second half? And also just related perhaps, do you have an updated view of R&R and new construction for this year? Noticed you're just not including that slide anymore and perhaps also if you're still expecting 4% PDG, please? Thank you.
Aaron Erter: Yes. So short answer is, we are not anticipating any recovery. And as it relates to PDG, as we think about that, look, we're still going to outperform the market and we expect to be able to deliver on our PDG commitments.
Rachel Wilson: Yes. And just further based on our guide and our current expectations of our blended markets being down mid-single-digits, we will outperform the market. Our guidance implies delivering no less than down 3% year-over-year. Therefore, our market outperformance implies that the market will be down no worse than mid-single-digits. And finally, as Aaron emphasized, we are focused always on outperforming the markets.
Harry Saunders: Great. Got it. Thank you. And just finally, I'm wondering if you could give some more color on the Philippines impact in the second-half for Asia-Pacific versus the second quarter, please?
Rachel Wilson: Happy to. As we talk about that and think about modeling assumptions specifically as we exit the Philippines, year-over-year APAC volumes, we do expect to be down about 30% in 2H and revenue in 2H for APAC to be down about 10%. APAC EBIT will be roughly flat, however, given the lower-margin profile of the Philippines.
Harry Saunders: All right. Thank you.
Aaron Erter: All right. Thanks, Harry.
Operator: Your next question comes from Andrew Scott with Morgan Stanley. Please go ahead.
Rachel Wilson: All right. Hi, Andrew.
Andrew Scott: Hi, Aaron. Thanks for the time. Just first of all, price realization. I think North American ASP was up 4% first quarter, 2% second quarter. I know we're picking in a couple of percent here, but just trying to understand, is that a little bit more discounting or rebating? Is it mix or what's playing into that?
Aaron Erter: Yes. Look, Andrew, I think what we've always said and you can look quarter from quarter, but we always have said that our ASP is going to be up for the full-year in every single region and that's what we're trending to here right now.
Andrew Scott: Okay. And then secondly, you said you believe you're outperforming markets. Can you give us some insight what you think the market did in the period gone?
Aaron Erter: Yes. Look, if you look at our business, it's very interesting as far as the segments we play in. And if you think about single-family new construction, we would say that was positive out there, mid-single digits. Multifamily, which we performed really well, was about 15% of our total volume last year, was down in the high-30s out there. So we believe that we were more like down about 20% there. And then if you look at R&R, which is the majority of our business, we would say that was down double-digits, right? And we trended better than that. So, look, we know that. We don't like to get in quarter-by-quarter looks at this. It's more of an entire year. And as I mentioned and Rachel talked about with PDG, we are on target to deliver on our commitments and outperform the markets.
Andrew Scott: That's helpful. Thank you.
Aaron Erter: Thank you very much, Andrew.
Operator: Your next question comes from Niraj Shah with Goldman Sachs. Please go ahead.
Niraj Shah: Hi, Aaron. Hi, Rachel. Most of my questions have been answered, but I just wanted to understand the delay around the CapEx at Prattville?
Aaron Erter: Yes, sure. Rachel, you want to take that?
Rachel Wilson: Yes. And so, part of this is Prattville 3 is up and running and we have Prattville 4 under-construction. And with volumes coming in a little bit lower than we first anticipated at the beginning of the year, we do have that opportunity to slow. We are ready and can accelerate as well if conditions change. But that is one we look and said for our plans for the year as we also think about Cleburne and our other -- that expansion, what are ones that we can control and pace with the volume?
Aaron Erter: Yes. Niraj, I'll just add to that. I think what's really important as you look at the way we've been handling our business in what is a very challenging time is we've been able to clutch in certain areas, whether that be from a marketing expense standpoint, whether that be with people, but we're still investing for long-term growth in Prattville and waiting to commission that towards -- more towards the end of the quarter as an example of that clutch. I think it's always important as you're entering into challenging times, which we've been in, is to be able to have those appropriate levers to pull without hurting the business from a long-term standpoint, particularly when you believe recovery is going to happen. And certainly, as we outlined in my remarks and Rachel's remarks, we think that's going to happen as we look to FY '26. So we're really confident that we're making the right investments and we're ready as that recovery happens.
Niraj Shah: Got it. Thank you.
Aaron Erter: Thanks.
Operator: Your next question comes from Shaurya Visen with Bank of America. Please go ahead.
Shaurya Visen: Good morning, Aaron. How are you?
Aaron Erter: Hi, Shaurya. How are you doing?
Shaurya Visen: Good. Thanks, Aaron. Two quick ones for me. So starting with your guidance, right, so both FY '25 and some of your comments on the third quarter. And look, I understand you're sort of saying the lower end of the guide is 635, but how should we be thinking about the range now? And also, as sort of Rachel mentioned, third quarter volumes higher than the second, is it also fair to say that fourth quarter volume should be higher than the third? And also just curious, was there a reason why you did not put out an explicit third quarter guidance. And I had a quick follow-up post that.
Aaron Erter: Yes. Look, and Rachel, feel free to jump in here. I think one of the things we got to remember, this is really the first year we've given full-year guidance and we thought important to provide quarterly guidance in the early part of the year. To give quarterly guidance at this juncture of the year would be giving in reality two quarters of guidance, which is something that we have not done. Finally, while we're confident in the second half the split between Q3 and Q4, Rachel mentioned this, it straddles a few competing factors, right? If you think about for our customers, they may choose early buying, pre-the price increase in January with allowable limits. Alternatively, they may be concerned with inventory management around the current year, which for many is their fiscal year end, which can influence when they want delivery of products. I think what's important to remember is regardless, we're confident in our volume guidance being at least 2.9 [Technical Difficulty]
Shaurya Visen: Aaron, one last one, look, coming back to your sort of outlook on the capital expenditure sort of pushing back, pushing it out to the next year, I'm just curious, right, one of your key competitors is sort of talking about increasing capacity next year. How should we read that versus you sort of thinking of pulling back capacity? Just curious how you think that that's playing out?
Aaron Erter: Yes. Look, I can't speak to any competitors and you can interpret that any way you want. I think the key piece is we have levers to control, right? When you think about our footprint right now, we are across the United States. So we're uniquely positioned to handle any increase in recovery that's coming along. But also as we prepare and think about over the next 10 years, key to that is our buildup of capacity. So we just put Prattville 3 online, which is a huge investment and really aids in -- with any recovery, but we have the ability to turn on 4 as well. So I think we're sitting in a really good spot right now regardless of what happens. But we are preparing and we're very confident that we're going to be able to take advantage of the recovery in '26.
Shaurya Visen: Thanks. Can I just sneak in with a quick one for Rachel. Rachel, just going back to Dan's questions on FY '25 assumptions, right? Is this something on the D&A that we need to be aware of for next year or that should not be very, very different to what we have?
Rachel Wilson: No, it should be fairly consistent. Obviously, it moves with our CapEx.
Shaurya Visen: Okay, great. Thank you.
Operator: Your next question comes from Lee Power with UBS. Please go ahead.
Aaron Erter: Hi, Lee.
Lee Power: Morning. Morning, Aaron. Morning, Rachel. Aaron, just your comments around pedal and clutch, like you talk about obviously being prepared for when the market recovers. Can you -- can you give us an idea of like any specific signs you're looking for and whether you're you kind of -- you're going to take a conservative approach and maybe stay on the clutch for a little bit longer or whether you're you kind of -- as I think the business has been in the past, you kind of you don't want to give up any sort of square footage and you probably go earlier on the spend.
Aaron Erter: Yes. Look, I think, Lee, first of all, great question. Look, I think let's just take R&R, and I always talk about some of the four factors out there that we look at. Certainly, contractor and consumer sentiment, it's down from its peak right now, but it remains in positive territory. If we think about existing home prices, right, they're at record highs. So it supports equity -- that people have equity in their homes. And interestingly enough, I was -- just got a report not too long ago thinking about -- since 2019, the average equity people are -- increase in people's homes has been about $30,000 a year. So it speaks to a lot of powder they have for home renovation. The other piece is big box transactions growth. And that's been down for a while, but I am encouraged, I think, came out this morning to see the Home Depot have flat type of comps in the third quarter. So those are the things we look at. One thing we haven't talked about, and I know that's been on everyone's mind is the election, right? So I believe -- and I was out last week even before I came down here to Australia with some homebuilders and some of our contractors. The fact that the election is over and there's certainty there, we believe, is going to get people off the sidelines. I don't know exactly when, but even early days, kind of anecdotal, the phones have been ringing more. We hear sentiment from consumers and contractors to be increasing. So I think all of those factors are key for us to look at. And look, I think what's important to note, we do not have to ramp anything up. We've invested where we can take advantage of a recovery. And I think it's really key for all of you when you think about how confident are we in this. Well, I think we've been voting with our wallet, right, investments, whether it be in CapEx, whether it be more sales people out there, whether it be marketing, right, the investment in marketing and our brand has been like no other and that's why we have the strongest brand in the building products world bar done. So we are ready and we're just waiting for that recovery to happen, but our teams are out there and performing at a high level, taking share in every segment that we play in. So we're ready to go.
Lee Power: Yes. It's interesting your comments around the election. Do you have a view on like potential stricter controls around undocumented labor and tariffs, like what do you think that might actually mean around the ability to meet demand because there seems there seems to be some pretty divergent views out there in the market.
Aaron Erter: Yes. I think you could really dissect this and we could spend all day on the phone. But even before it was decided who would win, I think we're sitting in a really good position that we have a value proposition that's very unique, right? We focus across the entire customer value chain, which is unique and we're going to -- we're going to capitalize and go out there and take advantage and convert. It doesn't matter what happens in that regard. We feel confident on our ability to do that.
Lee Power: Excellent. Thank you.
Aaron Erter: All right, Lee. Thanks.
Operator: Your next question comes from Liam Schofield with Morgans Financial. Please go ahead.
Liam Schofield: Thanks for taking my question. Aaron and Rachel, you just commented there on the improvements or prospects for improved consumer sentiment. As borrowing costs normalize with that sort of 30-year mortgage closer to 7% than it is 6%, how does that sort of normalize through time? And what's that relationship?
Rachel Wilson: That's a great question. One of those things in terms of consumer sentiment that Aaron highlighted was, yes, the presidential election is now behind us, but also on last Thursday, the Fed cut rates by an additional 25 bps. And as we look ahead, you're right, unfortunately, the mortgage rate, the 30-year fixed mortgage rate has been a little stubbornly high. It was at 6.79%, which is the same as the end of July, right? So we're not yet seeing that cycle through, but there's confidence that that's establishing in combination with the expectation, the does plan in the US -- has four more 25 bps cuts forecasted for calendar year '25. So again, I think that will further that sentiment and that readiness.
Liam Schofield: All right. Thanks, guys.
Aaron Erter: All right. Thanks, Liam.
Operator: Your next question comes from Harry Saunders with E&P. Please go ahead.
Aaron Erter: Hi, Harry.
Harry Saunders: Hi, thanks for taking my follow-up. Just wondering on that FY '26 outlook and particularly on the R&R end market, various comps seem to be calling for perhaps more muted recovery here. I'm just wondering if you could give more color around sort of what's forming your view, noting your long-term sort of planning assumption of low-single-digit end market growth. Thanks.
Rachel Wilson: Yes. I think Aaron did a nice job of kind of going back to those four factors of what are we waiting for. And in our four factors, when we talked about consumer and contractor sentiment, look, a lot of this is how quickly does some of this change. So that's a lot in the macro not -- we're on the control the controllables camp over here. But also, as we think about home equity values, as we think about whether it's the material conversion opportunity, the aging of the housing stock, the formation of homebuying, of the ages of the population and readiness to buy home, all of those trends are very long-term positive, whether it's for new construction and, frankly, R&R. And so, our job here is to get ready for that inflection and we'll see when it comes.
Aaron Erter: Yes. And I would just add, look, we talked about the presidential election. I think that is big psychologically for people because that uncertainty has gone. But the other thing is we're in the midst of the Fed cutting rates, right? So that can benefit -- that is going to be beneficial for us, and beneficial for the R&R market along with the underlying fundamentals that Rachel just walked through.
Aaron Erter: Thanks, Harry.
Harry Saunders: Thanks.
Operator: Your next question comes from Sam Seow with Citi. Please go ahead.
Aaron Erter: Hi, Sam.
Sam Seow: Good morning. Hi, guys. Thanks for taking my question. Just quickly, second half volume guidance, 1.48% at 28.5% margin appears a bit lower than prior scenarios where you had you given us where a 750 volume quarter should be around 30% to 32%. Just wondering, is the difference input cost there? And if you are taking 6% price in the fourth quarter, maybe 10% in back half, whether that implies that third quarter is meant to be under the 28% and fourth quarter a bit stronger? Thanks.
Rachel Wilson: Yes. So the first thing I'd say is, year-over-year, we absolutely are expecting those raw material costs. We know we have those headwinds. Even as pulp eases from a relative high year-over-year, it is still worse off. And then as we move further down, we do have to say we have higher D&A year-over-year as well. So if you're looking at the EBIT margin level, that is something to consider. In terms of the volume, we talked about our expectation that Q3 would be ahead versus Q2 for volume. And then we also talked about though our price increase. So those are factors to consider as you get down to the net sales level sales.
Sam Seow: Okay. That's helpful. And then maybe just quickly, exterior volumes slowed to high single-digit declines from low-single-digit growth in the first quarter. Appreciate it's obviously quarter-on-quarter and volatile, but just wondering if there's any further color on the fairly large kind of double-digit delta there? Thank you.
Aaron Erter: Yes. Look, I think what you're asking is our growth slowing a little bit. And from our May guidance, our market assessment indicates that the second half, big project R&R recovery would be unlikely, right? So large homebuilders are contending with current affordability challenges, and we talked about multifamily new construction being in decline. Really, our macro assessment aligns with third-party forecasts. And even with that decline, as I mentioned at the beginning of the call, we believe we're outperforming the markets there. So I think the other thing we got to remember is we're going against record numbers as we think about right now this performance. So I'm extremely proud of what the team has been able to do. I think that's our last question there.
Operator: Thank you. That is all the time we have for questions today. I'll now hand back to Mr. Aaron Erter for closing remarks.
Aaron Erter: Yes. Thanks, Ashley. Hey, everyone, thanks again. Hey, just really want to reiterate. Number one, we're positioned to deliver on our commitments for FY '25. And that's been by outperforming the markets, but also our ability to really have a handle on our business and clutch where we need to clutch, but also continuing to invest as we believe recovery is going to come in FY26. And look, we believe our material conversion opportunity is huge, right? And we believe we're uniquely positioned because of our focus on the entire value chain. And as we talked before, we're planning for growth in FY '26 and beyond. So just to close out, as always, I want to thank all the James Hardie teammates around the world for all the hard work and their focus on zero harm. So thank you. Appreciate it.
Operator: That concludes our conference for today. Thank you for participating. You may now disconnect.